Operator: Greetings, and welcome to the Haynes International Fourth Quarter Fiscal Year-end 2013 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Van Bibber, Controller and Chief Accounting Officer for Haynes International. Thank you, Mr. Van Bibber, you may begin.
David Sean Van Bibber: Thank you very much for joining us today. With me today are Mark Comerford, President and CEO of Haynes International; and Dan Maudlin, Vice President and Chief Financial Officer. Before we get started, I'd like to read a brief cautionary note regarding forward-looking statements. This conference call could contain statements that are forward looking within the meaning of the Private Securities Litigation Reform Act of 1933 and Section 21E of the Securities and Exchange Act of 1934. The words believe, anticipate, plan and similar expressions are intended to identify forward-looking statements. Although we believe our plans, intentions and expectations regarding or suggested by such forward-looking statements are reasonable, such statements are subject to a number of risks and uncertainties, and we can provide no assurance that such plans, intentions or expectations will be achieved. Many of these risks are discussed in detail in the company's filings with the Securities and Exchange Commission, in particular, Form 10-K for the fiscal year ended September 30, 2013. The company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. With that, let me turn the call over to Mark.
Mark M. Comerford: Thank you, Dave. Good morning, everyone, and thanks for joining us today. Hopefully you've all seen the press release and had a chance to review it. We'll follow our standard agenda in today's call. I'll open with comments about the business and end markets, and then Dan will give you greater detail on the financial results. Fiscal 2013 finished the year with net revenue of $482.7 million. That was down 16.7% from 2012's net revenue of $579.6 million. Net income decreased 57% to $21.6 million in 2013 from $50.2 million in fiscal '12. Pounds shipped in 2013 were down 10% from 2012 to just over 21 million pounds. And average selling price per pound decreased to $22.94 per pound, down 7.4% from 2012's $24.78. Our backlog fell during the year to an ending level of $166.6 million from the $222.9 million we had at the beginning of the year. In response to this slower economic climate, we've cut production schedules in our operations, and we're reducing our inventory. As we announced in the press release, we'll also be using this slower period to perform some required maintenance on our manufacturing equipment in the first quarter over the holidays. I met with over 60 customers during the past few months and in general, their opinion on the current economic climate was that 2013 did not meet their expectations. In general, they are quick to say it wasn't a bad year, but it was below their expectations. I pressed them for their expectations for 2014, essentially asking if they've completed their business planning. Most were cautious, expressing concern about the slowness they saw in 2013. They also expressed some optimism, and some, frankly, expressed frustration regarding the apparent mismatch between the end-use demand and the current operational levels we're seeing in the supply chain. In short, most in the aero engine area felt the supply chain destocking should be nearing completion. In the land-base gas turbine area, they felt larger global economic issues may be beginning to stabilize, which should see a return to economic growth and stronger demand. Then in the chemical industry, the ceiling was that the incremental improvements in key industries, like housing and automotive, in conjunction with the anticipated building boom in North America due to the abundance of natural gas should drive longer term demand growth. Most expressed concern regarding inventory levels being too low in the system, and confirming this point by the way, we're presently seeing almost no pushouts or rescheduling of orders, and we're starting to see our expedite list lengthen. At Haynes, as we mentioned in the press release, we do not expect any increase in demand as we move through the final weeks of our first fiscal quarter. However we firmly believe the longer term growth opportunities associated with our core target markets and -- we're continuing to position Haynes to be prepared for that expected upturn. Moving to our review by market. Net revenue in the aerospace market for fiscal 2013 was $197.1 million, down 14.3% from fiscal '12. Volume in 2013 was 8.1 million pounds, down 9.3% from fiscal '12's record level of 8.9 million pounds. Our backlog in aerospace fell 12.1% during the quarter and 25.3% during the year, as jet engine destocking continued. The aerospace market accounted for 40.8% of our revenue in fiscal '13. Boeing and Airbus continued to increase deliveries and ramping up their production capabilities. News from the recent Dubai Airshow continues to build on the strength of the commercial aerospace industry. Last I saw, it was about 500 new orders placed. I think, Boeing picked up 342 and Airbus around 150, I admit -- I think the number was actually 142. Backlogs for Boeing and Airbus are now roughly at 8 years. Based on discussions with customers, we currently expect that the aero engine destocking will reverse itself in 2014. Along these lines, GE reported excellent order activity for their engines in the third quarter. Looks like Pratt is going to be up about 10% on shipments of large commercial engine, and they reported that their spares business is also improving. And Rolls-Royce signed a $5 billion deal with Etihad at the air show. I think that was for sales and service for some A350 XWBs. So I think there has been a pretty clear disconnect in the past few quarters between what is happening on the aircraft and engine side of the business and what has been happening in the metal supply and fabrication end of the supply chain. On a structural side, the platform ramp-ups falling announced [ph] especially for the 737, going from 32 back in 2010 to 47 per month in 2017. Should match up well with the expansion of our tubular products facility. In our chemical processing market, net revenue for fiscal 2013 was $124.1 million, down 7.8% from the $134.6 million we did in 2012. Volume during the year was 5.2 million pounds, down 1.3% from fiscal '12. CPI accounted for 25.7% of our total revenue in the year. As we discussed, this market experience softness during the year as large project-related business remained for the most part on hold. More recently, we've seen an uptick in projects related to natural gas applications, primarily for some of our proprietary materials. Our backlog during the fourth quarter fell 6%, but was up about 2.5% for the year. We're seeing an increasing level of quote activity in this market over the past few weeks; however, price levels remain very competitive. As we've indicated previously, there are some good signs on the horizon, especially here in the U.S. as natural gas availability and price levels are creating some opportunities for the U.S. manufacturing economy. We expect the CPI market to remain competitive, especially on traditional chemical applications, using larger volume alloys. However as I mentioned, we're pleased with the success we've had in the past 12 months on new application work, especially for those applications and projects using some of our proprietary materials. Land-base gas turbine market totaled $102.1 million in net revenue for us in fiscal '13, down 14.4% from the $119.2 million we had in 2012. Volume dropped 6% to 6.1 million pounds, down from last year's record of 6.5 million pounds. This market accounted for 21.2% of our net revenues in fiscal '13. Backlog fell 29.4% in the quarter and 44.4% during the year as this market adjusted off the record levels we experienced in 2012. By the way, the 6.1 million pounds we sold in 2013 is the second highest volume level that Haynes has ever sold into this market. So while off from the 2012 levels, this market still performed at a high level. As we've stated previously, this market has experienced very choppy demand patterns with very quick lead time requirements. We view this market as having excellent long-term growth potential due to the availability, economics and environmental advantages, both real and perceived of natural gas over coal. However in a short term, we expect this market may very well continue the supply chain corrections we experienced in fiscal '13. We also expect this market to remain very competitive and service dependent through '14. Our Other Market categories had net revenues of $48.9 million in 2012, down 40% -- I'm sorry, in fiscal '13, down 40% from fiscal '12. Volume fell by 39.8% to 1.6 million pounds. The drop in sales and volume was largely due to a large oil and gas application that we did not repeat in fiscal '13. However most industrial markets associated with this category, including the flue-gas desulfurization market, were very much negatively impacted during the year. Backlog was also down in this market area by 14.5% in the quarter and almost 40% for the year. Finally we're progressing well with our tubular products expansion in Arcadia. The new annealing furnace is in place, and the 2 building addition structures are also complete. Over the next 12 months, we'll be adjusting the layout of our manufacturing floor to facilitate better, safer product flow, and we'll be taking possession of and installing the new production and testing equipment. Our Kokomo flat roll expansion is also progressing well, with the new heat treatment equipment in place with more to come, and new shape correction capabilities are being installed now. Similar to the tubular products work, we expect completion and commissioning over the next 10 to 12 months. Finally our new IT system is in place in Europe and the North American Go Live will start shortly. Our timeframe here is largely the same as the tube and flat roll products. We have a lot of people working very hard to get these projects up and running, and we're confident these new capabilities will serve us well in the future as we better position Haynes to meet the needs of our customers. With that, let me turn it over to Dan for more detail on the financials.
Daniel W. Maudlin: Thank you, Mark. I will hit the financial highlights of the quarter and the full fiscal year. Reductions in volume and lower pricing have led to continued margin compression. Volume in the fourth quarter was 5,237,000 pounds, which is down sequentially 5.5% from the third quarter this year. Volume for the full fiscal year 2013 was 21,043,000 pounds, down 10% from last year. We continue to see significant competition and delays on the project type orders, destocking within the turbine supply chain, customers continuing to delay orders as the price of nickel remains low, and an impact on demand from the ongoing uncertainty in the economy, including governmental budget policy uncertainty. We continue to see lower levels of order entry, which impacted revenue this quarter and will continue to impact revenue next quarter. Pricing for the fourth quarter was down sequentially $0.23 per pound from the third quarter this year, and pricing for the full fiscal year 2013 was down $1.84 per pound or 7.4% from last year. The lower nickel price put significant downward pressure on our selling prices throughout the year. Plus we continued to experience significant price competition, particularly in the commodity type alloys. This competition requires us to aggressively price orders, which continues to unfavorably impact average selling prices, resulting in margin compression. In addition to short lead times for the mill, direct products continues to put downward pressure on prices for service intertransactional business that typically could garner a higher price due to inventory availability. Gross profit margin as a percentage of net revenues experienced compression each quarter this fiscal year. Our gross profit margin for all of fiscal '13 was 15.3% compared to 20.9% last year. This 5.6 point compression is due to weaker pricing from price competition, higher cost raw materials flowing through cost of sales as nickel has fallen due to our FIFO inventory costing method, and lower absorption of manufacturing cost due to the lower volumes. As we navigate through this softer market, we continue to adjust production schedules, manage inventory levels and carefully review discretionary spending and reduce costs wherever possible. Our SG&A, including the research and technical expenses, ended the fiscal year at $41.7 million. In the fourth quarter, SG&A was reduced by $435,000 due to the reversal of incentive compensation accruals. Our backlog at September 30, 2013, was $166.6 million, which decreased 25% over the fiscal year '13 as we continued to see lower levels of order entry. The October backlog decreased to $164.1 million. However more recently in November, we're seeing some strong CPI project work for some proprietary alloys that increased our backlog above the year-end levels. However transactional business remains slow, and we expect customers to keep tightening their supply chains as we approach year end. Our capital investment strategy is continuing even through this period of lower demand because management continues to believe in the long-term growth potential in the markets we serve. The expected benefits of these projects are attainable, especially with the tubular expansion, which remains at capacity. The benefits of the flat products expansion will be attainable once volume returns to normalized levels, similar to fiscal year '12, when the project was announced. Capital investments in fiscal 2013 were $41.6 million, slightly below the $48 million projection due to the timing of the expenditures. This timing difference is carried into fiscal year 2014 with the projected capital investment increasing from the previously announced $50 million level to $57 million for FY '14. Cash flow from operations for fiscal 2013 were $73.4 million with significant reductions of inventory. Some significant uses of cash included the capital expenditures of $41.6 million and dividends of $10.8 million. Our cash balance ended the year at $68.3 million, which was up $21.6 million from last year. The company's liability for pension and postretirement benefits was reduced by $69.4 million during fiscal year 2013 primarily due to, number one, an increase in the discount rate used to calculate the liability that had fallen in previous years; two, stronger than expected returns on pension plan assets; and three, company contributions into the plans. At September 30, 2013, the net liability for the defined benefit pension plans was $67.6 million. The company's postretirement healthcare plan, which is a pay-as-you-go plan with no plan assets, was a liability of $98.8 million. This plan has a company contribution cap of $5 million per year. First quarter guidance. First quarter results are typically impacted by lower production days due to holidays and planned maintenance outages. Planned outages related to the capital expansion projects in both Kokomo and Arcadia, as well as other extended maintenance-related projects, are expected to impact first quarter results. In addition, the company has continued to see order entry and backlog decline with lower demand in pricing, which resulted in managing our inventories down. The company remains committed to preparing for the anticipated long-term growth opportunities in our core markets. However in the short term, management expects revenue for the first quarter of fiscal 2014 to be lower than revenue of the fourth quarter, and the company expects to incur a net loss in the first quarter of fiscal 2014. From a financial perspective, these are difficult waters to navigate through. With poor visibility into future orders, we are continually assessing the situation, flexing our workforce and reducing hours worked, managing our production schedules and inventory, and controlling our spending. We're also communicating closely with our customers, so that we are well positioned when business conditions strengthen. With the completion of our current capital investments in fiscal year 2014, we have significant potential to achieve future improved operational leverage and earnings power. With that, I will now turn the discussion back over to Mark.
Mark M. Comerford: Thanks, Dan. A year ago, we mentioned that the global economic situation was cloudy, and the meetings I had with customers, I think the summarizing phrase that they gave me is applicable. 2013 wasn't a bad year, but it wasn't as good as we had expected or as good as we think it should have been with what we see at the end of the supply chain. I think that speaks to some of the imbalance we're seeing right now. Longer term, structurally, the industry driving forces we've always identified remain intact. We believe commercial aerospace is nearing completion of the jet engine destocking we saw in '13. We're already seeing our CPI business being positively impacted by natural gas related demands for our alloys, increasing in very targeted applications. We expect the broader CPI market to rebound as global economics improve. We expect some short-term corrections on land-base gas turbine market. However once again we see excellent growth thesis for that market as we move into the longer term. During 2013, we developed HAYNES HR-235, specifically targeting petrochemical and syngas applications where metal dusting is an issue. We also introduced HAYNES 244, a low-expansion, high-temperature alloy with excellent ductility and forging characteristics. These innovations like HAYNES 282, HASTELLOY G-35, HASTELLOY HYBRID-BC1, HAYNES NS-163, HASTELLOY C-22HS and HAYNES HR-224 further cement our reputation and position in our target markets as a problem solver and technical innovator. We're driving waste from our processes using Six Sigma lean methodologies, and 5s is helping drive efficiency and better safety. We're positioning for the business for the growth we expect in our target markets. We're evolving into a world-class supplier, partner resource and technical enabler in the eyes of our customers. We have a lot more work to do. Times like this, the current period can test your commitment, but we feel confident in the long-term growth prospects for specialty alloys, and we're committed to continuously improving Haynes in order to strengthen our position in the marketplace. With that, let's open the call to your questions.
Operator: [Operator Instructions] Our first question today is coming from Ed Marshall from Sidoti & Company.
Edward Marshall - Sidoti & Company, LLC: So my first question is that the guidance, the backlog, it all sounds pretty grim, and yet listening to the comments, I don't hear anything about cutting or rationalizing. In fact, you're expanding capacity, you're continuing to go on that way. I don't want to put words in your mouth, but you're sending certainly signals. You mentioned about reversing of some destocking in 2014, et cetera. What signs are you looking at that maybe give you confidence as you kind of look into 2014 or fiscal '14 as opposed to what you were doing when you look into fiscal 2013 because even though I think there's a big overshadow here of a cloud, it seems like you have a lot more confidence looking into maybe even the second or third quarter of fiscal '14?
Mark M. Comerford: Yes, let me walk you through it, Ed. If you take a look at it, let's start with the aerospace. We saw volumes drop 10%, and if you look at the Boeing and Airbus deliveries, they're up about 10% this year. There's a clear disconnect, and I think that's probably something you're hearing across the specialty metals industry that this destocking has impacted pretty much everybody. I think we're all feeling a lot better. We don't know when it will turn around, but we feel we're in one of those situations where we go feast and famine with the aerospace marketplace. On the structural side, you know the story with our tubing operations that we're pretty much operating in the aero tube side at capacity. Boeing announcing platform expansions. We think it's going to time pretty well with when we're going to have our expanded capacity up and running. So that gives us the optimism as we look into, like you said, late '14 or middle of '14 and moving even further into the future. On the CPI area, which has been an area that's been large-project depended, and it's been very depressed, very competitive price-wise. The thing that gives me some optimism is the natural gas story, probably more so than anything. And the projects -- we mentioned 1 early in the year that we saw, which was gas related for a heat exchanger. We've got some new projects that we just brought in. Dan talked about the backlog increasing. The backlog increased, but just so you're aware, it's not stuff that will ship this quarter. That will be some things that ship out in the third and fourth quarter. That was more for a vessel for natural gas applications. So we're seeing those kinds of new applications coming through, which we're very pleased to see. So that gives me some optimism in the CPI market and just in general talking to some of the larger accounts in the CPI industry. We know automotive has backed off a little, but the production levels are still pretty good. Housing has backed off a little, but it's sure as heck is better than it was 1 year or 2 years ago. Both large consumers of essentially chemical products. So those guys are starting to feel a little -- we're seeing more optimism from them. On the land-based gas turbine market, that's the area where I keep expressing concern, and I think it's the best way to explain is probably a concern from a revenue point of view. We had a record year in volume shipments in 2012. The second best year in the company's history was 2013. The backlog decreased quite a bit. I think I mentioned a number of 44% during the year. You never like to see backlog decrease, but for a guy like me, I'm sitting here saying, okay, maybe a lot of the overhang is finally starting to get pulled out of the system. It's not going to help me in the short term. When that backlog is down, it means we're going to have some tough revenue quarters coming up. However it means that some of that supply chain is clearing itself out. So again, it gives me reason to be optimistic as we get into probably into the later part of 2014. Did I help you at all there?
Edward Marshall - Sidoti & Company, LLC: Yes, I think so. And just a follow-up on that, you're not rationalizing because you're -- you think that -- go ahead, I'm sorry...
Mark M. Comerford: We're flexing hours a lot right now, and there's really a couple of reasons for that. One, we do expect a return of the business. But the second thing is lead times are so short right now and these markets are so, "I got to have it when I got to have it" dependent right now that we're keeping -- that we're flexing people. It's been very painful here for our people. We're doing rolling layoffs. We'll be out next week. We'll be taking time off over the holidays. It's been very difficult. However when we get, for instance, that order that I told you about early in the year, which was the heat exchanger, that was when we got the order on a Thursday and we melted it Saturday. So the flexibility of keeping everybody intact and reducing hours is helping us win business.
Edward Marshall - Sidoti & Company, LLC: So the slow grind down is painful. I mean, it's been pretty sluggish and slow grind. But my sense is because the market is so thin, call it, on material and destocking's complete, and these end markets sound, at least for chem processing and aero, seem pretty strong, potentially stronger. You wouldn't be surprised if the business snapped back pretty rapidly, and you want to be prepared for that. Is that what you're saying? I think that's what you're saying.
Mark M. Comerford: We have the sales guys in, and I spent a lot of time in the field in the last couple of months, and you keep hearing words like pent-up demand, and I know I'm probably driving them nuts when I -- I'm talking to them and pushing them a little bit. But it's pretty much exactly what you're saying, that one of the best phrases I heard is from our VP of Sales and he said, "Mark, I didn't predict it when it happened in 2011," and if you guys remember 2011, 5 of our first 6 months that year were record order entry, and we didn't predict it. It just snapped back the way it snapped back.
Edward Marshall - Sidoti & Company, LLC: So the second thing I was just focused on is the supply contract that was mentioned in the press release, and this is the first time I saw mentioned to that. I assume that the price that you've locked in isn't $6, although that will be great. But given the timing, I imagine that -- given the timing of the announcement, I guess I suppose that it's not far off $6. Kind of walk me through, is that a lock -- it says locked pricing, is that locked pricing in volume? Is it certain mins and maxes? And are there escalators built into that? So are you going to see some leverage on the cost side if you need to buy more nickel?
Mark M. Comerford: No. It's a headwind. We bought some forward nickel to cover some LTAs. We didn't see the growth. In fact, we saw volume pullbacks. So we met with our suppliers, and what we did is we spread out that impact over the upcoming years. Dan, anything?
Daniel W. Maudlin: I mean, we amended those agreements and spread the committed volume over a longer period of time through 2015. For a couple of reasons, to minimize the near-term impact of these contracts but also provides kind of a longer period of time for the market price in nickel to increase, and then it would mitigate the economic impact of it.
Edward Marshall - Sidoti & Company, LLC: Well certainly, if nickel stays at $6, it's going to be a headwind. I think that's what being said. But what if nickel goes, I'm just going to hypothetically say $7 or maybe the long-term average of $8? What happens then? Are you locked-in at say this lower price of a nickel or is it still a headwind at that point?
Mark M. Comerford: It's still a headwind, Ed. These contracts were purchased a year ago.
Operator: [Operator Instructions] Our next question is coming from Chris Brown from Bank of America.
Christopher R. Brown - BofA Merrill Lynch, Research Division: Just going back to the locked-in nickel price, can you give us a sense as to the percent -- or what percent of your nickel needs does that really account for? Is it all of it or just a portion of your nickel needs?
Mark M. Comerford: It's just a portion. It's a relatively -- the impact is greater now because volumes are low and we're also reducing inventories. So you can imagine when you're reducing your inventory, you're not taking as much raw material in. So that's where the significance of the impact is now. And as we mentioned, as we see volumes rebound and as we see nickel rebound or if nickel rebounds, the impact of this gets less.
Christopher R. Brown - BofA Merrill Lynch, Research Division: Okay. And then can you give us a sense as to the sequential volume decline in the first quarter? Will it be down year-over-year? Can you give us some more color around that?
Daniel W. Maudlin: Yes. We're expecting it to be down year-over-year. And part of the issue, we talk about the backlog that's been declining and how that flows through the P&L, so we're certainly getting some top line pressure on the revenue, but other items that's impacting the P&L in that first quarter is reducing inventory in the fourth quarter as we're pulling back the production schedules, and that kind of thing creates some unfavorable absorption that as we release that to the P&L, as the inventory turns, that's also putting some pressure on the margins in the fourth quarter. And then as we mentioned, the normal holidays and that kind of schedule, a little more impacted with the capital projects, the planned outages that we have related to those. And as Mark mentioned, kind of the somewhat extended maintenance shutdowns with taking advantage of the lower demand that will help us in the future but will have an impact on Q1.
Operator: There are no further questions at this time. I'd like to turn the floor back over to management for any further or closing comments.
Mark M. Comerford: Thank you very much for your time today, and thank you for your interest and support of Haynes. Please be safe over the holidays. I always remind the employees here to -- you're going to have decorative lights and candles so please just take 5 minutes and make sure you know where your fire extinguisher is in your house. But -- so please, have a great holiday season, and we'll look forward to updating you next quarter. Thanks.